Operator: Good day and welcome to the Battalion Oil Q1 2020 Earnings Call. Today’s conference is being recorded.  At this time, I would like to turn the conference over to John-Davis Rutkauskas. Please go ahead, sir. 
John-Davis Rutkauskas: Good morning. I'm joined by a few of my colleagues today, who I'd like to introduce. Battalion's Chief Executive Officer, Richard Little; our Chief Financial Officer, Ragan Altizer; and our Chief Operating Officer, Daniel Rohling. This conference call contains forward-looking statements. For a detailed description of our disclaimer, see our earnings release issued yesterday and posted on our website. This conference call also includes references to certain non-GAAP financial measures. Reconciliations of those non-GAAP financial measures to the most directly comparable measure under GAAP are contained in our earnings announcement released yesterday. We have also published an investor presentation, which may be found on our website and will be referenced during this webcast.  Now, I'll turn it over to our team to present a few scripted remarks followed by Q&A. Rich?
Richard Little: Thank you, John-Davis. I'd like to welcome listeners to Battalion’s first quarter 2020 earnings call and our second investor update as Battalion Oil Corporation.  During last quarter's earnings call, we introduced our management team and presented our approach to oil and gas development. You heard me emphasize capital discipline as well as integrity, doing what we say we're going to do. We had already planned to suspend our capital program. And as the market continued to decline, the decisions we had to make in Q1 required agility and an even greater level of discipline. I'm proud of our team's ability to drive down costs and for their quick response time to thoughtfully be in production across all of our fields.  In Q1, we continued to strengthen our three year hedge book with nearly a 100% of our PDP volume hedged through 2021 with an all-in price of over $48.50 when taking into account fixed price basis and roll for the entire two year period. And we have 75% of our production hedged out into year three with an all-in price of $53 a barrel in 2022. Ragan will touch on more of the specifics later in the presentation.  We were also able to work with BMO during our spring redetermination to achieve a modest reduction in our borrowing base. We're now at a level that I'm comfortable operating within until our next redetermination in November. I want to thank BMO for their transparency and their vote of confidence in our business plan and this team's ability to deliver.  We remain focused on creating value levers in our business such as our AGI well we mentioned on our last call. With the permit now in hand and the well already drilled, we've created more options to further drive down operating costs and potentially have an asset that we could monetize while helping others in the area with their H2S treating capacity. We continue to improve efficiencies as we've seen in this quarter. We brought adjusted G&A down only $1.50 per Boe versus $5.99 per Boe in the same period last year as well as a number of operational efficiencies that Danny will touch on in his portion of the presentation.  On our last call, I made a reference to the merit of keeping our drilling rig in the face of market uncertainty. Ultimately we elected to release the rig and we'll monitor the market to determine the best time to return back to the development in field. With breakeven oil prices in the high 20s I feel like we could see increased activity along with other operators that possess what I call tier 1 assets. Furthermore, we initiated a well thought out campaign to voluntarily shut-in over half of our production with a focus on reservoir maintenance, leasehold obligations and operating expense to determine which wells to shut-in. As our hedges are purely financial instruments and also deepen the money, we simultaneously unwound hedges that are no longer required to offset our physical sales, and therefore, eliminating speculative exposure to commodity price. This allows us the ability to significantly pay down debt through the end of the year regardless of how we produce our fields.  As far as the COVID-19 update, I'm pleased to report that we've managed to avoid cases of COVID-19 within our workforce. We took immediate action in March to protect the health and safety of our employees by implementing a business continuity plan, including remote work arrangements for our Houston-based employees, as well as providing for proper spacing among field personnel. We've been active in the communities where we operate to help support first responders and city officials during this pandemic. We continued to conduct a 100% of our work remotely, including processing payments and invoices to our stakeholders. Safety is one of our core values and we continue to monitor the situation to keep our team out of harm's way.  Now, I'll let Danny deliver his remarks on our operations. 
Daniel Rohling: Thanks, Rich, and good morning, everyone. As Rich highlighted, we had a busy quarter delivering efficiency gains and savings across our operations. Most importantly, we did so safely in challenging times. I'd like to take a moment to recognize the crews and frontline leadership that has continued to fuel our nation even through this downturn because it'd be easy to lose focus with everything going on in the industry and the world right now.  Instead of that, on Slide 4 you can see the continued improvements in our drilling and completions programs. We drilled another record well in both cost and days on the [Eureka] pad. In true Battalion fashion, that well’s record didn't stand along as you can see from the dotted red lines representing our Q2 wells on the graph on the right. Average cost came in just over $200 a foot which represented a 12% drop versus the fourth quarter. As Rich said, we laid the rig down after finishing up our last two well pad and we want to thank the crews and leadership from Precision. We went two years without a OSHA recordable and have drilled some of the most efficient wells in the basin together. Also in the quarter we wrapped up our initial seven-well frac campaign ahead of schedule and under budget while pumping larger jobs and we're excited about the early performance we've seen. We've postponed our next fracs but have four DUCs waiting on us in Monument Draw that are offsetting our existing pipelines and facilities. So there'll be some of the most efficient capital we'll spend when the time is right.  Slide 5 shows our significant progress in LOE and workover expense. In the first quarter we aligned our operations with a new set of service partners that had initial costs. This kept LOE at $7.30 a Boe, but we're benefiting from those changes now and are seeing LOE trend down. The teams have implemented a proactive program that attacked our high failure rate wells and had a well by individual well prescription for artificial lift, chemicals and all other expense categories. This was driven by the well’s history and the reservoir. Failure rates at West Quito and Hackberry are down by 50% which is showing up in fewer workovers as you can see in the chart. Monument had an increase in the quarter, but again, we anticipate seeing the benefit in Q2 through Q4 by doing the necessary downhole work early in the year. All of this work had us poised for an outstanding second quarter. While we're setting in production, these efficiencies and team's hard work are paying dividends to our overall liquidity.  Slide 6 is another snapshot of our H2S handling. We're proud of the team's work here and are one of the very few operators that have a solution to sour gas on the Eastern side of the Delaware Basin. In the quarter we finalized our installation of a third liquid redox train and now have the capacity to keep up with a one to two rig program. We've put as much as 70,000 pounds of sulfur per day through our facility at some of the lowest cost to-date. It feels like we have now addressed the capacity issue at Monument Draw and are prepared for growth when the market recovers.  As Rich mentioned, we've done a lot to prepare for an AGI well and facility that will allow us to further drive down operating costs. This is a great opportunity and option created by the team that will bring significant value to the company in the near future.  Before I hand it over to Ragan, I'd like to thank our teams for their hard work in these unprecedented times. They set the foundation for us to grow and continue to make a significant impact across all areas of the business. 
Ragan Altizer: Thanks, Danny. I'll begin with a few highlights from Q1 and then address our liquidity position. Our daily net production for the quarter was 18,791 Boe per day, of which oil represented 10,297 barrels per day. Same quarter last year was at 10,233 barrels of oil per day while Q4 of last year was 11,489 barrels of oil per day. We exited a quarter with increasing oil production at about 11,000 barrels per day. The company earned $47.4 million of total revenue for the quarter, of which 88% was from oil sales excluding the impact of hedge settlements. We realized 98% of the NYMEX WTI during the first quarter and realized the gain on crude oil derivative contracts of $5.1 million.  Net income for the quarter was $114.5 million resulting in earnings per basic and diluted share of $7.07. Adjusted EBITDA for the quarter was $23.5 million compared to $12.7 million from the same quarter last year, primarily the result of sharply declining operating [TTO] and G&A cost. Our adjusted EBITDA reconciliation table can be found in our earnings announcement.  Total operating costs were $18.20 per Boe compared to $25.49 per Boe for the first quarter of 2019. This was comprised in part of adjusted G&A of a $1.50 per Boe in the first quarter of 2020 compared to $5.99 per Boe in the first quarter of 2019 as well as lease operating and workover expense for this quarter of $8.07 per Boe compared to $10.94 per Boe in the same quarter last year. For additional financial metrics and adjusted financial data refer to the selected operating data table in our earnings announcement.  During the first quarter of 2020 we incurred capital expenditures of $65.1 million. These expenditures included spudding three new wells and completing seven wells, securing surface acreage related to our recently permitted AGI wells and bringing the third train online in our Valkyrie H2S processing system.  Our original budget for 2020 had the lion's share of capital already slated for the first quarter. And as Rich has mentioned, we suspended our capital program early in the second quarter. We will continue to monitor conditions ahead for the opportunity to reengage in our development programs. Earlier this month, we announced the results of the scheduled borrowing base redetermination process with BMO which resulted in a reduction of our borrowing base from $240 million down to $200 million. This represents a 17% reduction, which we believe is an excellent outcome considering the current pricing markers and general environment around reserve based lending. I want to take this opportunity to thank BMO yet again for their commitment to our partnership and recognize the valuable role they play in our industry in general and specifically their belief in our team and our assets.  Pro forma for this redetermination as of the end of the first quarter, Battalion's liquidity was $26.5 million based on $900,000 in cash on hand, plus availability under our revolving credit facility, less open letters of credit.  Finally, I'll mention our hedge book. With $105 million of mark-to-market value at the end of the first quarter, our hedge does not only provide a solid price for on substantially all of our production through the end of 2022 but also provides ample liquidity for us to access at our discretion. Some specifics on our hedge book: 100% of PDP production for the back half of 2020 and all of 2021 and 75% of 2022 is hedged with plain vanilla swaps and 2-way collars.  I'll point out that in addition to hedging the WTI fixed price, we also match those positions with the other two key components of underlying market based pricing, basis differential and unnatural. All-in pricing on our old hedges for the back half of 2020 are $50.28 per barrel, while 2021 is at $45.51 per barrel, in 2022 is hedged at $52.38 per barrel. Like Rich acknowledged earlier, while the environment we find ourselves in today is one of uncertainty, we have confidence in our path forward because of the strategies we implemented previously in preparation for a downside scenario like the one we're realizing. Between physical sales and financial settlements, no matter what happens next, we are committed to paying down debt and continuing to strengthen our overall financial position.  Back to you Rich. 
Richard Little: Thanks Ragan. I share that same confidence with you. We're certainly far more accustomed to bring in new wells online than we are to strategically shutting in over half of our production. Nevertheless, while these times are challenging, I do reinforce the notion of sound business principles such as long-term planning, remain the best way to make what could be difficult near term decisions. Our team has done a commendable job of preparing us for circumstances such as the one we find ourselves in, building long-term relationships with key stakeholders such as mineral owners and vendors for actively creating optionality in our development strategies and simply treating each other with respect.  I'm hopeful that the market will turn around before the end of the year but regardless we'll continue to look for more ways to enhance our competitive advantage and further strengthen our balance sheet. Thank you for your time and interest in Battalion Oil Corporation.  With that, we'll now open the call up to questions. 
Operator: [Operator Instructions]. We'll take our first question today from Noel Parks with Coker & Palmer.
Noel Parks : I just had a few things I wanted to run by you. With the shut-ins, do you have an idea of roughly where LOE might end up for the period that you have shut-in your either percentage or sort of unit figure for what that might look like? 
Richard Little: I think you're asking about a unit cost, Noel, and the problem with giving unit cost is in the denominator we're looking at the barrels per day. And so we don't know yet how long we'll be shut-in for the quarter. And so I can tell you that we've shut-in from May. We'll assess the market in June and again in July. And so I can't give guidance -- and I think you're asking for second quarter because you asked the shut in period, so shut-in May. So given guidance on an LOE unit cost would be difficult because we're not aware of what our production is going to be for the quarter, but we'll continue to assess the market, and check things to make the right call. So, sorry, I can't give you a unit cost because I don't know what the production is going to be. 
Noel Parks : No problem. Fair enough. And also on the cost side, just looking at G&A, I noticed that the absolute dollar level of quarter was similar to what it was a year ago before the filing. And I'm just wondering, going forward, is there anything much less -- much left as far as restructuring costs either that you expect will be reported separately or items that are not going to fold into recurring G&A? 
Richard Little: We still have a little bit. I think one of the things we did and we mentioned on the last call, Noel, was that we consolidated the offices and so we shut down the Denver office. There's nobody working there. We are -- we still need to get out from under that lease. And so we're working those agreements today. And so I think short of that, that might be the last thing we've got to deal with on the restructuring cost. 
Noel Parks : Okay, great. And just looking at the larger environment in basin. Do you have any thoughts on what consolidation might look like either for assets on the market that might be attractive to you? And is there any thoughts you had on that. And I guess I'd be curious about, what would be the most attractive trait that would help you decide one way or the other about maybe looking at other properties? 
Richard Little: Sure, Noel, I think that's an easy one right now. When you look across the landscape, there's not a lot of value being given for undeveloped. So we're being realistic about deals that we would look at, it's probably going to be PDP heavy, but we'd also want to be able to continue our efficiencies, which mean that we're going to be looking into Permian Basin because that's where we operate. So we're going to be looking to that as well. And of course, we have done a good job of de-levering our balance sheet. We've got a strong balance sheet and we're not looking at doing a leveraging transaction. So, those are the kind of deals that we'd be looking at doing for us. 
Noel Parks: Okay, great. And just last one for me. When you've been looking at just planning for the rest of the year sort of slow down we have now and hopefully some recovery later, do you have any thoughts about NGL markets and any -- I'm not so familiar with what's available for those products as far as hedging. But is it down on the horizon looking at maybe getting back into hedging NGLs? 
Richard Little: No, I'd be honest with you. I think Ragan even alluded in his comments that we're looking at 88% of our revenue coming from oil. We're going to be looking forward improvement in NGLs and gas pricing before we’re going to look at doing any kind of hedging for those products. We're mainly focused on what drives our business and that's oil. 
Operator: Next we will hear from Emily Holden with The Guardian. 
Emily Holden : I wanted to ask about a reference that you had in an SEC filing to a PPP loan. It seems to say that you have taken one that doesn't disclose the amount. Can you provide more information about that? 
Ragan Altizer: Yes. Sure. We didn't disclose your amount but we took about $2.2 million of PPP loan. We think that was the right thing to do. We felt like the PPP loans were set up for businesses our size and it helped us to further our operations. So yes, we did it. 
Operator: That will conclude today's question-and-answer session. I'll now turn the conference over to Richard Little for any additional or closing remarks. 
Richard Little: Okay, great. Thanks. I want to thank everybody on the call for your interest in Battalion Oil. I hope on this spell we were able to convey to you that we will continue to be opportunistic and we're going to find ways to create value while at the same time we're going to protect our business for our stakeholders. So while we recognize we're in better shape than most in the downturn, it's not lost on us that there's a lot of workers out there in our industry facing an uncertain future and our hearts go out to them. This pandemic has definitely lasted a lot longer than what we were expecting, but we'll continue to put the health and safety of our workforce and our families first.  Like everyone else, we're not sure when the market will turnaround or how quickly we'll recover, but I assure you that we'll keep our eyes on the ball and we'll prepare ourselves and this company for responsible growth when the opportunity does present itself. So again, thank you for your time today.
Operator: And that will conclude today's conference. Thank you for your participation. You may now disconnect.